Operator: Good morning, everyone, and welcome to the Och-Ziff Capital Management Group 2010 second quarter earnings conference call. My name is [Katie] and I will be your coordinator for today. At this time, all participants are in a listen-only mode. All lines have been placed on mute to prevent any background noise. (Operator Instructions) I would now like to turn the call over to Tina Madon, Head of Investor Relations at Och-Ziff; over to you.
Tina Madon: Great, thanks, [Katie]. Good morning, everyone, and welcome. With me today are Dan Och, our Chairman and CEO, and Joel Frank, our Chief Financial Officer. I'd like to remind you that today's call may include forward-looking statements. These statements reflect the current views of management about, among other things, assumptions with respect to levels of assets under management, future events and financial performance, many of which by their nature are inherently uncertain and outside of our control. Och-Ziff's actual results and financial condition may differ, possibly materially, from the anticipated results and financial condition indicated in these forward-looking statements. The company does not undertake any obligation to publically update or revise any forward-looking statement, whether as a result of new information, future developments or otherwise. During today's call we'll be referring to economic income, distributable earnings and other financial measures which are not prepared in accordance with US generally accepted accounting principals. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release which is posted on the For Shareholders page of our website. Furthermore, no statements made during this call should be construed as an offer to purchase shares of the company or an interest in any Och-Ziff fund. Today's call is being recorded and is copyrighted material of Och-Ziff Capital Management Group LLC. Telephonic and webcast replays will be made available later today. You can find the details for both on our website at www.ozcap.com. With that, let me now turn things over to Dan.
Dan Och: Thanks, Tina. Good morning, everyone, and thank you for joining our call today. This morning I'll review our year-to-date investment performance through July 31 and assets under management as of August 1. I'll briefly review the investment environment and share our perspective on capital flows both for the hedge fund industry and Och-Ziff. The market environment during the second quarter was more challenging than any we have seen in the last 18 months and economic uncertainty remains high. However, against this backdrop, the value of our investment process and our multi-strategy model was, again, readily apparent as we continued to protect our fund investor's capital and generate strong risk-adjusted returns during the second quarter and through July. As always, the quality of our performance is a functio of our consistent disciplined investment in risk management process, our low use of leverage and our emphasis on diversification through our multi-strategy model. We have employed this approach to investing since the inception of our firm and believe these results are extremely valuable to fund investors. While weaker global economic conditions and regulatory uncertainty resulted in sharp declines in global equity indexes and increased volatility, our multi-strategy model and international capabilities enabled us to effectively navigate this market environment. Our global reach allows us to understand macroeconomic risk worldwide and gives us the ability to create a robust and diversified investment portfolio. Because we have the ability to capitalize on opportunities in various asset classes and geographies rather than being dependent on a specific capital allocation to a strategy or in trying to predict market direction, we were able to build on our strong history generating returns for our fund investors even when market conditions are challenging. We are optimistic that we can continue to identify the best investment opportunities for them. We are maintaining an active dialogue with current and perspective fund investors and believe that interest in our platforms remains high. However, let me reemphasize that institutions who allocate capital to us generally go through lengthy due diligence and approval processes because they make investment decision for the long term. As a result, month-to-month capital flows can vary significantly. Fund investors remain interested in managers who generate strong risk-adjusted returns, have a deep organization, a strong infrastructure and provide portfolio transparency. We believe that as investors re-engineer their traditional asset allocation models they will increase the amount of capital they invest with alternative asset managers and we will remain a leading beneficiary of those flows. We continue to believe that our track record and the structure of our business differentiates our firm in the marketplace and will further increase our ability to gain market share over time in a competitive landscape that remains fragmented. Now let me turn to our business results starting with assets under management. As we announced this morning, our assets under management as of August 1 totaled $25.9 billion. This amount reflects a year-to-date increase of $2.8 billion or 12% from $23.1 billion on December 31 due to $2.2 billion of capital net inflows and $600 million of performance-related appreciation. These amounts included net inflows of $300 million on August 1 and $300 million of performance-related appreciation for the month of July. Consistent with what we have seen over the last several quarters, our year-to-date inflows are coming from a well-diversified mix of existing and new fund investors. We have seen particular interest from pension funds, private banks, corporates and other institutions including international pools of capital. We remain confident that the long-term secular growth drivers of asset under management remain in tact for the hedge fund industry. Despite recent market volatility we believe the capital allocation cycle is underway and confidence among institutional investors in this sector remains strong. Now let me turn to our funds' investment performance. Year-to-date through July 31 our master fund was up 2.8% net. Our Europe master fund was up 2.6% net. Our Asia master fund was up 3.6% net and our global special investments master fund was up 5% net. These returns were generated with less than half the volatility of the SMP500. Our year-to-date performance was driven by our credit-related strategies, convertible arbitrage and private investments. As I mentioned earlier, our performance reflects the benefit to our fund investors of our active risk management process and the flexibility of our model. In light of the sharp decline in global equity markets and the result in increase in volatility during the second quarter, we reduced our equity exposures and increased our allocation to cash. We are continuing to see attractive opportunities in all of our strategies, although we are being more selective and disciplined in terms of entering and existing investment disciplines and geographies. With that, now let me turn the call over to Joel.
Joel Frank: Thanks, Dan. This morning I will review our 2010 second quarter results and how we are thinking about expenses going forward. For the 2010 second quarter we reported a GAAP net loss of $89.4 million or $1.05 per basic and diluted Class A shares. As always, a discussion of our GAAP results is contained in our press release for your reference. Now let's turn to the details behind our 2010 second quarter economic income beginning with revenue. Management fees total $108 million, of which $107 million was attributable to the fund segment and $1 million to other operations, an 8% increase from the 2010 first quarter due to the increase in assets under management from January 1 to April 1 of approximately $1.8 billion. From April 1 to July 1 our assets under management remained unchanged at approximately $25.3 billion as net inflows were offset by an equivalent amount of performance-related depreciation. Our average management fee remained at approximately 1.7%. This is the blended rate that includes the effect of our non-fee paying assets. Now let me turn to the 2010 second quarter expenses. Comp and benefits totaled $21 million during the second quarter with $17 million attributable to the funds segment and $4 million to other operations. Of the total, salaries and benefits were $19 million, essentially unchanged from the 2010 first quarter with $15 million attributable to the funds segment and $4 million to other operations. Second quarter comp and benefits also included $10 million of guaranteed bonus expense, which is essentially all attributable to the funds segment. Total salaries and benefits were 18% of management fees in the second quarter. We expect this ratio to be approximately 18% to 20% for the third quarter. Now turning to non-compensation expenses; non-comp expenses totaled $21 million in the second quarter, declining slightly on a sequential basis with $22 million attributable to the funds segment and a $1 million credit attributable to other operations. The majority of this credit resulted from a reimbursement of organizational expenses related to establishing a new real estate investment fund. Non-comp expenses totaled 19% of management fees in the 2010 second quarter. We expect this ratio to be approximately 19% to 22% for the third quarter of this year. Our 2010 second quarter effective tax rate was 20%. The sequential increase in the quarterly rate was principally due to a lower deduction for divesting of RSUs which declined during the quarter due to the decrease in our stock price and the expected flow of our annual revenues and expenses through our legal entity structure. We anticipate that our effective tax rate during the third quarter of this year will be in the range of 20% to 25%. As I said in our first quarter call, our 2010 full-year effective tax rate is subject to variables which generally would not solidify until the fourth quarter of this year, including the amount of incentive income we earned, the resulting flow of revenue expenses through our legal entity structure and the effect that changes in the stock price may have on the deduction for vesting RSUs. As a result of these factors, our quarterly and annual tax rates may vary, sometimes substantially, from our estimates. Our 2010 second quarter distributable earnings were $57 million or $0.14 for adjusted Class A shares. As you saw in our press release this morning, our dividend for the 2010 second quarter will be $0.11 per Class A share. As is typical, we use cash to fund items related to the operation of the business. The most significant of these were our withholding taxes to be paid upon divesting of RSUs and principal repayments on our variable rate borrowings. In closing, I would like to re-emphasize the importance of the relationship between our investment performance and the earnings power of our business over the long term. Our ability to protect fund investor capital, especially when market conditions are volatile, and generation competitive returns as markets normalize is extremely valuable to our current and perspective fund investors. The consistency of our performance is key to the stability and growth of our assets under management, which, in turn, drives our earnings growth. I would also like to re-emphasize the scalability of our model as this is an equally important factor in increasing our earnings and expanding our margins as our business grows. As I have said on prior calls, growth in assets under management will drive growth in our management fees, which we expect to more than offset any increase in our fixed expenses over time. In addition, our revenues are collected in cash, flow right to the bottom line and are not subject to call backs. With that, we will be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of Bill Katz - Citigroup.
Bill Katz - Citigroup: Two questions, I guess; one, I was sort of curious in terms of your discussion with existing and perspective clients. Is there any discussion around pricing relative to maybe length of the investment? My second question is, given your very strong operating results this quarter, any thoughts to maybe accelerate reinvestment in the business to expand the platform in any way?
Dan Och: Bill, in terms of the first question, other than the three-year structure we had mentioned previously, no other discussions along those lines and we feel very good about the three-year structure and it's receptivity amongst investors. In terms of investing in the business, as Joel said many times, we're constantly investing in the business, whether that is through internal growth, expanding some of the platforms that we've talked about in the past, hiring, in particular's importance, is a very good environment for us in terms of attracting people. So we are very focused on that and we think it is creating opportunities for thefuture.
Operator: Your next question comes from the line of Cynthia Mayer - Bank of America.
Cynthia Mayer - Bank of America: You mentioned you increased the allocation of cash in 2Q. I'm just wondering if you can give the current allocation and maybe talk a little bit about what it would take for you to get more constructive.
Joel Frank: Yes, why don't I give you the full allocation? It's 20% to cash but let me give it to you across the board. It's 22% to long-short equities, convertible arbitrage 19%, structured credit 20%, private investments 10%, other credit 10% and [merger] 2%.
Dan Och: Cynthia, in terms to the second part of your question, we're constantly doing and have done since inception is evaluating the risk return opportunities in each of our sectors as well as the overall risk in the environment. The combination of those two factors caused us to increase the cash position. We do see opportunities to redeploy the cash and it's really balancing the risk return opportunities with the overall risk in the environment. Clearly in the second quarter we were down approximately 1.37% in our main fund with the SMP down 11% and that defensive posturing, that constant risk management is very important to our investors and very important to our investment mandate.
Cynthia Mayer - Bank of America: Maybe just one more on investing; it looks like the Global Special Investments fund is really outperforming this year. Can you maybe give a little color on what the main drivers are for that there?
Dan Och: Well, as we said, the performance drivers have largely been in the credit-related areas and some of the private investments. So it is as part of a natural overweighting towards those areas.
Cynthia Mayer - Bank of America: Maybe just update us also -- I think earlier this year you removed your perpetual high water mark and just curious in talking to clients since then and looking at the inflows did that have any measurable effect do you think on flows that you could talk about? I guess, just give a sense of the impact of that if you've seen any.
Dan Och: I don't think -- we don't think it had a measurable effect. We do think it was noted. I think not gating into spending or locking up has had a measurable effect. The level of transparency and disclosure we offer has had a measurable effect. The results of the due diligence on our operational processes and our financial controls has had a measurable effect. The move at the high water mark, as we said at the time, in pulling our investors, is there anything we can be doing better, this is something that they felt would be a positive adjustment. I think it's indicative of how we think about investors and how proactive we are and there is clearly a very overall positive feeling in terms of all those issues among the investor base. But we're constantly striving with our investors, is there anything we could be doing better, what is important to you, where can we be best in class?
Operator: Your next question comes from the line of Roger Freeman - Barclays Capital.
Steven Truong - Barclays Capital: Steven Truong here for Roger. Can you talk about what drove the incentive income during the quarter? Was it redemptions or was there something else in there, please?
Dan Och: Yes, basically it was prior redemptions that drove the incentive growth.
Steven Truong - Barclays Capital: Dan, just in terms of the comment with regards to your market share gains, how do you see the M&A landscape within hedge funds or can you talk about the organic growth as you see going forward, the [cost for] strategies and is that enough to really drive the market share gain that we're referring to?
Dan Och: I don't have any comments really on M&A within the hedge fund industry. We think that our opportunity, if we continue to perform and continue to devalue -- as I said, an interesting asset of our business is the second quarter where we lost 1.37%. So clearly being down is not the goal at the end of the quarter. But to be down 1.37% with an SMP down 11% is huge value added. If we keep doing all the things we're doing, we see -- we think the market share gains are coming from a 16-year record of doing what we do, of generating the returns, low leverage, managing the risk appropriately and all of the other factors that I mentioned on the last questions. Our focus is not on the M&A or any of these other areas.
Steven Truong - Barclays Capital: With regards to the increased cash, can you talk about how you look at things across geographies, so with the European Master fund and the Asia Master fund versus the main Master fund?
Dan Och: Well, Joel, why don't you give the geographic allocation in the Master fund which will indicate how we're blending all of that across the portfolios?
Joel Frank: Yes, it's about 55% US, 31% in Europe and a difference of about 14% in Asia.
Dan Och: We do feel very, very good about the international opportunities on a long-term basis and we think the fact that throughout the various crises that have occurred either in Europe or in Asia, the fact that we not only stayed fully committed but have continued to expand has increased our competitive advantage in those areas and we think that the international linking in the world is going to continue to grow and become more important.
Operator: Your next question comes from the line of Dan Fannon - Jefferies.
Dan Fannon - Jefferies: I was wondering is there any real change in your investor mix? Then you guys give that break down on a quarterly basis. Then talk about a little bit of where you see the opportunity within that customer mix going forward or see the most potential opportunity for market share gains.
Joel Frank: Yes, Dan, let me give you the break down by investment; no material changes. The pension is about 24%, fund-to-fund about 22%, foundation and endowments about 18%, corporate, institutional and other about 10%, affiliated is still 10%, family office and divisional about 8%, private banks 8% as well.
Dan Och: In terms of opportunities, I think in general the pension funds, large international and private banks are probably the best secular opportunities just in looking at total assets within those areas and the percentage of those assets invested in alternatives. But I think that's a relatively standard perception within the alternative asset management industry.
Dan Fannon - Jefferies: Then maybe a different look at investing in your business; I mean, are you guys out looking at personnel and hiring in certain areas or expanding in this market?
Dan Och: We are. We think it's a very good opportunity for us to be bringing people in. We think that there are a lot of things that are making Och-Ziff even more attractive to people on a career basis. We've continued to expand the things that we do internally that make this place attractive to people. We're very focused on it. There are some things going on within the industry, both within the alternative investment industry and within the financial services industry that are causing some levels of instability that are making a firm such as Och-Ziff, we believe, even more attractive and we continue to bring people in where appropriate.
Dan Fannon - Jefferies: Then lastly, on the regulatory front, I mean, is there anything out there that you guys re monitoring besides the carried interest that continues to be kind of ongoing? But is there any other potential legislation that's come up that you guys are following or monitoring?
Dan Och: Look, Dan, I think on the overall basis, of course, we monitor everything that's going on. But as we'll always tell you, we think that well-thought-out legislation that affects everybody equally and is good for the country we're in favor of. So we'll have to wait and see what actually happens.
Operator: Your next question comes from the line of Ken Worthington - JPMorgan.
Tim Shea - JPMorgan: This is Tim Shea speaking for Ken. We have seen about nine solid months of inflows and then last month a reversion back to outflows and we're just wondering whether or not that can be attributed to some type of a one-time item or whether or not it might indicate that perhaps things have become more fragile with regard to flows.
Dan Och: Well, first of all, our very strong belief is that the secular trend that began about 12 months ago is in tact. That's based on conversations that we're having, studies that have been published, statements that have been made by large institutional investors and the continued ability to perform and provide what investors are looking for. We've also stressed that each month-to-month number can vary. They can vary to the upside or they can vary to the downside. We don't think that last month is an indication of the long-term trend but obviously our goal is the generate the performance, focus on what's important to the investors in all other aspects of the business and operations. If we do that we think that we will benefit from the long-term trend.
Operator: Your next question comes from the line of Marc Irizarry - Goldman Sachs.
Marc Irizarry - Goldman Sachs: The distribution picture on the high net worth side and retail side for alternatives, it seems that all investors, including Honda and [Worth] are interested in it. Can you talk a little bit about what your plans are on the distribution side and what you have going on to grow that side of the business now?
Dan Och: Yes, we don't have any material plans in place to change and that we're doing a primary focus continues to be on the institutional side. You are correct, Marc, that there is more and more interest in these types of products from the high net worth side. On that side we're being more responsive to approaches that are being developed, responses to structures that are developing. Our focus really is on the institutional side. But if you are asking on a long-term basis do we think that there is a large opportunity on the high net worth individual side and do we think if we continue to do what we do that we will attract a reasonable share that we would absolutely agree with that.
Marc Irizarry - Goldman Sachs: So maybe just to be a little more specific, were you added to any high net worth platforms over the past year? Are there any new platforms where maybe we can expect to see some new flow going forward?
Dan Och: We don't comment on any specific investors for confidentiality reasons. But I think it's fair to say that if we continue to put ourselves in a position where we're viewed as one of the premier firms then we will be given the choice of the best opportunities and that is our approach.
Marc Irizarry - Goldman Sachs: Then just on the comment on the reengineering of asset allocations, I know there has been a lot. This has been ongoing. But what's -- when you talk to you LPs about the reason for sort of coming to Och-Ziff, can you differentiate a little bit between the flow coming from reallocation versus maybe manager replacement? Is that a notable trend? Then is there any sort of incremental change in the way LPs are thinking about asset allocation that's worthy of noting?
Dan Och: On the first question, obviously we don't know exactly where the capital comes from but it does appear to us that the main focus is not manager replacement. It's new allocations. It's either institutions coming in this space for the first time or it's institutions increasing their allocations to this space. I'm sorry, what was the second question? Marc?
Marc Irizarry - Goldman Sachs: I'm sorry. Then is there a -- on the reengineering of the asset allocation, is there any discernible change in the way investors are thinking about the alternative allocations since the market sort of caused investors to think more strongly about the role that multi-strat plays in their portfolios? Or has recent hedge fund performance maybe caused some contemplation about whether or not they should be upping their allocations?
Dan Och: Yes, I think what you're referring to is a longer-term process that's in place and we've actually seen some public studies about that where CIOs are effectively looking at hedge funds, looking at multi-strategy hedge funds in comparison to their equity allocation. Obviously over the past 10 years there have been some issues with the equity allocation. In our view, if you asked us over the past 12 months has there been a lot of that flow, probably not. If you asked us is that a very, very large opportunity going forward, absolutely. Obviously to receive allocations from the equity allocation that is generally much larger pool than the pure alternative asset bucket.
Marc Irizarry - Goldman Sachs: Then just one more, if I can, on the regulatory -- on financial regulation; can you talk a little bit as a market participant what you expect the impact of a financial regulation to be? Then also, when you think about running the business in terms of maybe talent or competition, what's your thought there?
Joel Frank: On financial regulation, Marc, you know there's a lot more to be interpreted and to be defined and that's going to take a period of time. So we have to wait and see how that's going to effect everybody in the marketplace once that is defined.
Dan Och: On the second part, Marc, on the margin, as I said, some of the instability and some of the changes we believe are benefitting us in terms of the ability to attract people. But our focus is on giving people reasons to want to be at Och-Ziff as opposed to focusing on any other issues affecting others.
Operator: Your next question comes from the line of Cynthia Mayer - Bank of America.
Cynthia Mayer - Bank of America: Just briefly on the relationship between the dividend and the distributable earnings, this quarter $0.11 versus $0.14; as we look ahead to 4Q should we assume that the dividend will be sort of a similar percentage of earnings as last year's 4Q or should we think about the ratio for this quarter? How do you look at that depending on what the eventual incentive income is?
Joel Frank: We always say we're always going to distribute the majority of our distributable earnings and what the business needs in terms of cash needs we will use and that's going to be your difference. So we can't project that. There's no way of projecting that. But our intent is always to distribute the majority of our distributable earnings.
Cynthia Mayer - Bank of America: Can you just remind us, in terms of the part that's held back, what the major uses are right now?
Joel Frank: For this quarter it was RSU -- withholding on RSUs and the paydown of our variable rate loans.
Operator: Your next question comes from the line of Mark Lane - William Blair & Company.
Mark Lane - William Blair & Company: I just had a question regarding fund performance. It seems -- and this is including reported results in July. It seems like the swing in performance relative to the market, at least in 2010, has been dampened a little bit. If you look at how you performed relative to the market in 2008 and 2009 both very down and up markets. So was there a view and is there a view as you were positioned earlier in the year to be a little bit more conservative or reduce some of the volatility on the portfolio?
Dan Och: No. The performance in 2010 we think is very consistent with our performance over our 16-year history. In 2008 for reasons that I think everyone is aware of, especially in the fourth quarter, the performance did deviate from our normal historical performance. But if you go back and look at especially our performance during the down months in the SMP each year, which we focus on a lot because one major factor in preserving capital is how do we do when the market goes down? If you look at that performance you'll see that 2010 is extremely consistent. Rough numbers, if you look the SMP has had several down months and out out-performance -- you can call it out or you can call it non-correlation -- has been very, very strong. Our preservation of capital during those three months has been extremely strong and 2010 is very consistent with our performance throughout the 16 years, 2008 being the aberration.
Mark Lane - William Blair & Company: So even with a month in July with global equity markets up high-single digit performance of a little bit over 1% or 1.3%, 1.4% in July, you think that July was kind of a typical month in the way you were positioned?
Dan Och: When one looks to truly generate consistent, positive, absolute returns, be well-hedged, have minimal if any market exposure and generate alpha -- as I said, over the last 16 years, that's generated a very high compounded rate of return with very little correlation and downside. Obviously in months when the equity markets -- May and June, for example, when the equity market dropped dramatically, one can look after the fact and say it was very good to have no market exposure. In months like July when the equity markets rise dramatically, one can look after the fact and say it would have been nicer to have more market exposure. We're not market timers. We feel that for 16 years we've demonstrated that we're going to do what we do and it's going to generate absolute returns and alpha for investors and we don't deviate.
Operator: At this time you have no further questions. I would like to now hand the call back over to Tina Madon for closing remarks. Please proceed.
Tina Madon: Thanks, [Katie]. Thank you, everyone, for joining us today and for your interest in Och-Ziff. If you have any questions, please don't hesitate to contact me at 212-719-7381 and media inquiries should be directed to Carina Davidson or Chuck Dohrenwend at 212-371-5999.